Company Representatives: Dave Folsom - President, Chief Executive Officer Scott Kucinski - Executive Vice President, Chief Operating Officer Tony Domalski - Vice President, Chief Financial Officer Mack Sims - Vice President of Operations
Operator: Hello! And welcome to today's Sotherly Hotels, 4Q 2022 Earnings Call and Webcast. My name is Bailey and I'll be the moderator for today's call. All lines will be muted during the presentation portion of the call, with an opportunity for questions-and-answers at the end. [Operator Instructions]. I would now like to pass the conference over to our host, Mack Sims, Vice President of Operations. Please go ahead.
Mack Sims: Thank you and good morning everyone. If you did not receive a copy of the earnings release, you may access it on our website at www.sotherlyhotels.com. In the release, the company has reconciled all non-GAAP financial measures to the most directly comparable GAAP measure in accordance with Reg G requirements.  Any statements made during this conference call which are not historical, may constitute forward-looking statements. Although we believe the expectations reflected in any forward-looking statements are based on reasonable assumptions, we can give no assurance that these expectations will be attained. Factors and risks that can cause actual results to differ materially from those expressed or implied by forward-looking statements are detailed in today's press release and from time to time in the company's filings with the SEC. The company does not undertake a duty to update or revise any forward-looking statements. And with that, I'll turn the call over to Scott.
Scott Kucinski: Thanks Mack. Good morning, everyone. I'll start off today's call to review our portfolio's key operating metrics for the quarter. Looking at the fourth quarter results for the same store composite portfolio, RevPAR was $102.34, driven by an occupancy of 57.4% and an ADR of $178.41. Fourth quarter RevPAR performance represents an increase of 17.1% over the same period in 2021. For the year RevPAR for the same store composite portfolio was $108.56, with the occupancy of 61% and ADR of $178.01.  2022 full year RevPAR performance represents an increase of 27.7% over the same period in 2021. Overall we were pleased with our portfolio's fourth quarter results, highlighted by sustained strength and demand for leisure travel, coupled with growing demand for group and business travel.  During October, which is historically one of the busiest group in business travel months in the year for our portfolio, RevPAR was up 3.3% over 2019 levels, with ADR of more than 11%. November experienced some softness due to hurricane Nicole threatened to impact on the Southern U.S.; however, December produced similarly strong results with RevPAR outpacing 2019 by 1.3% with ADR up nearly 19%.  For the quarter as a whole, RevPAR was off by 2.5% to Q4, 2019. On an annualized basis, 2022 RevPAR was off 2019 by 6.2% with occupancy down 12.9%, with ADR increasing 7.7%. While we expect rates to remain strong, we believe occupancy growth will be the biggest opportunity going forward.  Our portfolios recent booking trends for business and group travel demonstrate the demand from these segments continues to grow. For the group segment, which continues to be - continues to make quarter-over-quarter improvements, our portfolio produced 103% of the group business in the fourth quarter of 2022 compared to Q4, 2019.  During 2022, the nature of our group bookings was 25% corporate, representing a positive change from the prior year, where corporate accounted for 15% of total group bookings. For the transient and business travel segment, our portfolio was 68% of the business travel produced in Q4, 2019, but was 36% greater than Q4, 2021. These gains in group and business travel demand came across the entire portfolio, but most notably out of urban properties in Washington DC and Atlanta, which experienced the best year-over-year improvements and performance.  Meanwhile, our portfolio's leisure focused hotels continue to outperform expectations during the quarter. Sustained strength in the leisure segment was supplemented by group with better than expected food and beverage contributions, resulting in strong improvement over pre-pandemic levels in these markets.  Overall, rate growth across all segments continues to drive strong results for our portfolio. Our forecast for 2023, which have shown further improvement to these trends for the portfolio are an encouraging sign for our company. Dave will comment more on this later in the call.  Looking at some highlights across the portfolio, the Hyatt Centric Arlington continued to show steady sequential improvement relative to 2019, fueled by the return of group and business travel to the hotel. Fourth quarter RevPAR was only down 2019 by 1.3% as compared to a 10.1% deficit during the third quarter.  Rate, which is up 12.4% compared to the fourth quarter 2019 was the driver of this improvement. The property continues to outperform its competitive set, and during the quarter the hotel achieved a RevPAR index of over 123% and gained over 11.6% RevPAR share, further solidifying its position as the market leader.  The DeSoto, Savannah continued its strike of excellent performance, which is driven by a well balanced mix of leisure and group business. During the quarter the property easily outpaced 2019 metrics with a 21.3% gain in RevPAR fueled by significant rate growth of 26.1% over 2019.  Hotel Alba in Tampa continues to record exceptional results, significantly outpacing 2019 RevPAR by 54.2% during the quarter. Fourth quarter results for this hotel were fueled not only by a 30.8% increase in rate, but also an 18% gain in occupancy, a notable performance that highlights the hotel's successful repositioning strategy. Our management team achieved commendable profitability metrics during the fourth quarter by executing revenue management strategies aimed at driving rate and controlling variable costs at our properties. As a result of these efforts, rooms margin profit expanded 280 basis points over 2019 to 76.5% during the fourth quarter.  Meanwhile, hotel EBITDA margins for the fourth quarter 2022 versus 2019 expanded an impressive 780 basis points to 28.8%. For the year hotel EBITDA margins expanded 270 basis points over 2019 to 28%.  As we navigate the post-pandemic operating environment, margin control will continue to be a crucial area of focus for our managers, especially as additional revenue drivers, which were scaled back during the pandemic are layered into our properties. All-in-all we are pleased with our portfolios progress during the year and are encouraged by the trends we are seeing going forward.  I will now turn the call over to Tony. 
Tony Domalski : Thank you, Scott. Reviewing performance for the period ended December 31, 2022. For the fourth quarter total revenue was approximately $41.3 million, representing an increase of 17.8% over the same quarter in 2021. For the year, total revenue was approximately $166.1 million, representing an increase of 30.1% over the prior year. Comparing current performance to pre-pandemic levels, total revenue for the fourth quarter represented 93.3% of total revenue for the same period in 2019. And for the year, total revenue represented 89.4% of total revenue for the full year 2019.  Hotel EBITDA for the quarter was approximately $11.9 million, representing an increase of 46.8% over the same quarter 2021. Year-to-date, hotel EBITDA was approximately $46.5 million, representing an increase of 50.4% over full year 2021. Comparing fourth quarter performance to pre-pandemic levels, hotel EBITDA represented 128.2% of hotel EBITDA for the same quarter of 2019. For the full year, hotel EBITDA represented 99% of hotel EBITDA for full year 2019.  For the quarter adjusted FFO was approximately $8.5 million, representing an increase of $9.8 million over the same quarter 2021. For the year, adjusted FFO was approximately $18.3 million, representing an improvement of approximately $23.2 million over full year 2021.  Comparing fourth quarter performance to pre-pandemic levels, adjusted FFO represented more than an eight fold increase in adjusted FFO for the same quarter in 2019 and on a full year basis adjusted FFO represented a 104.3% of adjusted FFO for the full year 2019. Please note that our adjusted FFO excludes charges related to the early extinguishment of debt, gains and losses on derivative instruments, charges related to aborted or abandoned securities offerings, and ESOP and stock compensation expense as well as other items. Hotel EBITDA excludes these charges as well as interest expense, interest income, corporate, general and administrative expenses, the current portion of our income tax provision and other items as well. Please refer to our earnings release for additional detail. Looking at our balance sheet. As of December 31, 2022, the company had total cash of approximately $27.3 million, consisting of unrestricted cash and cash equivalents of approximately $21.9 million, as well as approximately $5.4 million, which was reserved for real estate taxes, capital improvements and certain other items.  At the end of the quarter we had principal balances of approximately $324.4 million of outstanding debt at a weighted average interest rate of 5.0%. Approximately 96% of the company's debt carried a fixed interest rate after taking into account the company's interest rate swap agreements.  This week we announced the modification of the existing loan on The Whitehall in Houston, with the existing lender. The loan which has a principal balance of approximately $14.2 million was extended for five years until February of 2028, and maintains a floating interest rate of New York Prime Rate plus 1.25%, subject to an overall floor rate of 7.50%.  In December 2022, we were notified that the forgiveness application related to one of the loans we received under the SPA Payroll Protection Program had been approved. In January, we were notified that a second forgiveness application had also been approved. In total we received approximately $4.9 million in principal forgiveness, plus the associated accrued interest. A third forgiveness application of approximately $0.3 million is still pending with a small business administration.  As we enter a more normalized operating environment, we anticipate capital expenditure more in mind with historic norms, and estimate capital expenditures will amount to approximately $7.2 million for calendar year 2023. We are resuming guidance with a forecast of anticipated results for the first quarter. Our guidance takes into accounts market conditions and accounts for current and expected performance within the portfolio. We are projecting total revenue in the range of $42.3 million to $44.3 million for the first quarter 2023.  At the midpoint of this range, this represents a 13% increase over prior – the prior period total revenue. Hotel EBITDA is projected in the range of $11.9 million to $12.5 million and at the midpoint of the range, this represents a 22.3% increase over the hotel EBITDA for the same quarter in the prior year.  And adjusted FFO was projected in the range of $4.1 million to $4.7 million or $0.21 to $0.24 per share. At the midpoint of the range this represents more than a 200% increase over adjusted FFO for the same quarter in the prior year.  And I will now turn the call over to Dave. 
Dave Folsom : Thank you, Tony, and good morning everyone. Our portfolio continued to demonstrate encouraging trends for the fourth quarter, characterized by further improvement in group and business transient demand in our urban markets and sustained strength and leisure demand in our leisure focused markets. Impressive rate growth for our portfolio, which was especially notable at our Coast of leisure hotel, contributed to record profitability metrics for the company during the quarter.  The portfolio's continued improvement made during the fourth quarter capped off a year of significant progress in its recovery from the pandemic. Thus far, this momentum which highlights the positioning and management of our assets in their respective markets has been carried forward into the first quarter of this year.  Overall, 2022 significantly outperformed our expectations. During the year our management team soundly executed several objectives, which ultimately resulted in a transformative shift in the outlook for the company. The sale of our Louisville and Raleigh assets in the year allowed us to reduce secured mortgage debt and additionally repay an expensive corporate loan, while concurrently eliminating the need for expensive near-term CapEx required for life cycle improvements at these two hotels. In addition, the loan modification of our Tampa asset provided improved terms and additional cash proceeds for the company.  This series of transactions allowed for the complete repayment of the aforementioned corporate loan with the Kemmons Wilson Companies. And as a result, the elimination of high interest current payments, onerous loan covenants and the return of the significant interest reserve. In addition, we believe our strategic approach towards holding properties in southern markets proved successful as these locations experienced outsized performance during the industry's recovery following the pandemic. One of the best examples of this trend is the performance of the DeSoto in Savannah, Georgia, where 2022's RevPAR gain of 22% over 2019 represented the best year of performance in the property's lengthy history. Meanwhile, revenue growth and strong margins led to record profitability metrics for the second, third and fourth quarters, each outperforming the same periods in 2019. As a result of these efforts, 2022's hotel EBITDA notably surpassed same store 2019 hotel EBITDA, completing a remarkable recovery for our portfolio following the pandemic. Facilitated by the continued improvement of the company's operating fundamentals, in January we announced the reinstatement of our quarterly preferred dividends. In addition, we announced that in the future we intend to reduce the amount of cumulative unpaid preferred dividends through the periodic announcement of special dividends, as is warranted by market conditions and the company's profitability. This announcement demonstrates management's confidence in our financial health and our ability to navigate the changing lodging environment.  Looking forward, we believe there is significant upside for our portfolio, especially in the transient business travel and group segments, which are trending positively thus far this year. In fact, transient business travel reservations are projecting tremendous growth for the year, already pacing 145% of the same time last year.  Meanwhile, we expect group business to build on last year's improvement, with group bookings for this year currently pacing 47% ahead of prior year. Overall, we are pleased by the progress we are seeing in our operations so far this year, with first quarter RevPAR forecasted to be in the range of 97% to 101% of the first quarter of 2019, a difficult comp for us, which included the Super Bowl in Atlanta.  We are closely monitoring macroeconomic data, consumer behavior and corporate travel policies and have not yet seen any pullback in demand, future booking pace or room rates. We remain cautiously optimistic that these encouraging booking trends, as well as the tailwinds we've discussed will continue to fuel our growth prospects moving forward.  And with that everyone, we'll open the call up for questions.
Operator: Thank you. [Operator Instructions]. Our first question today comes from the line of Alexander Goldfarb from Piper Sandler. Please go ahead. Your line is now open.
Alexander Goldfarb: Hey! Good morning down there. So a few questions. First obviously, great to see the PPP forgiveness in the quarter. It definitely drove a good chunk of the FFO beat, but certainly good to see.  Question is, per the release you guys took out just over $10 million of PPP. You've now been forgiven of about $5 million. There's another I think you said $300,000 that you submitted for. What's your expectation for the balance of the PPP loan, call it roughly $5 million? Are you expected to pay that back or you anticipate also being granted forgiveness on that portion?
Tony Domalski : Alex, this is Tony. No, there's no additional forgiveness unfortunately. We submitted one round of forgiveness applications and the total forgiveness will be somewhere around $5 million. We've made payments already on that loan. So we've got it down to between $2 million and $2.5 million left, and we've got the remainder of a five year period to repay that. So, we'll have whatever the balance is, will have until sometime in mid, early to mid-2025 to get that paid.
Alexander Goldfarb: And what's the rate on that?
Tony Domalski : 1%.
Alexander Goldfarb: Yes, taxpayer dollars at work. So you're welcome on the...
Tony Domalski : Keep that loan all day long.
Alexander Goldfarb: Yes. Well, you're welcome as a taxpayer. Okay, mid-2025 due and it's a 1%, okay great. The second question is...
Tony Domalski : Alex, just to add to that, if there is a monthly payment that's required, it's not a balloon.
Alexander Goldfarb: Yes, yes. No, I got it. I got it. The next question is on the preferred, I think Scott, last time you and I spoke, I think the accrual balance was $23 million on the preferred. Not sure if that's still correct or with the resumption of the payment that's come down. But on our cash basis, sort of rough numbers, we have you post dividend, post preferred sort of around $10 million a year of free cash flow again, after CapEx, after preferred, which would suggest another two years of preferred payments before the common dividend could be you know once again reconsidered. Would you sort of – is that a fair timeline to think about? And then separate, is there anything to – I know you mentioned special dividends to settle up the accrued, but presumably that would imply some asset sales, and I think most of your hotels are levered, which means probably not that much proceeds.  So just sort of curious on one, how you would fund any accelerated repayment; and then two, if my $10 million free cash flow is correct, is about a two year timeline fair for returning of the common dividend?
Dave Folsom : Yes. Alex, its Dave here. Let me address your second question first. So with respect to the timeline, I mean I can't give you any definitive guidance right now on the frequency or amount or the longevity of this repayment. I think you're probably in the right ballpark. I mean a lot of this, the repayment just is essentially making double payments on the existing preferred dividend. That will really depend on how the lodging industry progresses, how our profitability is evident and any other demands for our capital, which includes things like nonrecurring CapEx for relicensing these hotels, mortgage debt refinancing activity, how that will shake out. And to your other – so to your second question, we do have free cash flow, and it will take time to repay this on a periodic basis as we said on our last call and what we said today is we're going to make special dividends. I just can't tell you how long it's going to take to get accrued paid off. I think the $23 million number at the end of 2022 is the correct number, plus or minus a very small amount. With respect to accelerating the repayment, I mean there are things we can take advantage of, which would include lowering the preferred principal through exchanges which we did for the last two or three years, that's really a function of pricing. And then we're always looking for opportunities to raise fresh capital that could accelerate the repayment of that preferred. But what I will tell you is your comment about selling assets, that's not anything we're considering right now to help accelerate the repayment of that preferred dividend.
Alexander Goldfarb: Okay. Yes Dave, that's what I – you answered that question. And then is the $23 million as of year-end, is that still the balance today? You made the initial preferred payment, preferred dividend. So is that – the $23 million is net of that payment or we would have to reduce the $23 million by the preferred?
Dave Folsom : Well, as you know, once we stop paying preferred, that accrual just kept growing and growing and growing. Now that we have reinstated the preferred dividends that fixes that accrual. The unpaid accrual is now fixed, and we just have to pay it off. So its $23 million total and then out of cash flow or through other mechanisms we'll have to pay that off sequentially through special dividends.
Alexander Goldfarb: Okay, okay, got it. And then I guess the final question is, you know your comments about not really seeing anything of the recession down in your markets. You talked about strength in urban and group planning, etc. Is there just no sign at all throughout your portfolio, whether it's individual travel, group, business travel, group planning, etc. Are there any cracks at all and anything by market or your sense is, as you hear back from your various hotels from Philly down to Texas and Florida, that sort of there's really no change in what you're seeing on an operational business sense?
Dave Folsom : You know, that's correct. I mean we have very detailed, very lengthy calls every two weeks with the DOSs, the GMs, the corporate staff or our management company and frankly right now the answer is no. Additional BT customer bookings, group bookings, rate, it's all there. We're very thankful to see the BT customer and the corporate group layer back into our business mix. And I can just tell you, we don't see it right now. I'm sure it's going to change, but I can't tell you when that will be, but we're not seeing any cracks as you mentioned.
Alexander Goldfarb: Okay, listen. Thank you. 
Dave Folsom : Thanks Alex. 
Tony Domalski: Thanks Alex. 
Operator: Thank you. [Operator Instructions]. There are no additional questions waiting at this time. So I'd like to pass the conference over to Dave Folsom for any closing remarks. Please go ahead.
Dave Folsom : Thank you, operator, and thank you everyone for joining us for our quarterly call. And we look forward to another one in a few months. Thank you.
Operator: This concludes today's conference call. Thank you all for your participation. You may now disconnect your lines.